Operator: Good day and thank you for standing by. Welcome to the CMC Materials Second Quarter Fiscal 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Colleen Mumford, Vice President, Communications and Marketing. Please go ahead.
Colleen Mumford: Thank you. Good morning. With me today are David Li, President and CEO; and Scott Beamer, Vice President and CFO. Last night, we reported results for our second quarter fiscal year 2021, which ended March 31, 2021. We encourage you to review the slides and remarks documents we've made available in the Quarterly Results section of the Investor Relations center on our website, cmcmaterials.com.
David Li: Thanks, Colleen. Good morning, everyone. As announced last night, we achieved another quarter of record revenue. We believe our performance reflects our leadership positions, continued innovation and strong business execution, particularly in the Electronic Materials segment. We continue to operate our global manufacturing location without interruption and are proud of our global employees for their sustained focus on health and safety as well as their ongoing efforts to produce and deliver best-in-class solutions to our customers around the world. In terms of outlook, as announced, we are very encouraged by the strength and demand we are seeing for Electronic Materials solutions particularly CMP slurries and CMP pads, given our technology leadership and advantaged positions across all segments and geographies. We see significant growth momentum for our products across all sectors and geographies with the strongest performance in foundry in China. Looking ahead, we see continued growth for our company above this record quarter, driven again by strength in our Electronic Materials segment. I would also like to highlight that we are improving our full year adjusted EBITDA range to between $370 million and $390 million demonstrating performance in the first half and our confidence in our growth prospects and strong profitability for the next two quarters. Our second quarter results demonstrate the quality of our portfolio and leadership positions, particularly in electronic materials. We are excited about the expected growth in our core businesses and are confident in our ability to capitalize on the favorable semiconductor operating environments. Looking ahead to our third fiscal quarter, we expect to again deliver sequential growth above this record quarter across both segments.
Operator:  Your first question is from Toshiya Hari with Goldman Sachs.
Toshiya Hari: Hi, guys. Good morning.
Colleen Mumford: Good morning, Toshiya.
Toshiya Hari: Good morning. Thanks for taking the question. I've got a multipart question on your EM business and then a follow-up on the PM side as well. So Dave, on the EM side, you showed nice acceleration in growth in the Flores business. I was curious what were some of the key drivers there. And then in CMP pads, I think on prior calls, you had talked about some market share dynamics in Asia, also a customer to transitioning from your classic Cabot platform to the NexPlanar platform and how that was causing a little bit of a delay, if you will. If you can give an update on those two dynamics as it relates to pads that will be helpful. And then in electronic chemicals, I think the business grew in the low single digits year-over-year. Obviously, you've got a very large customer here who seems to have pretty good momentum. And then the mainstream nodes from an industry backdrop perspective seemed really good, too. given the strength in industrial and automotive. So why not, I guess, a faster growth rate there? If you can touch on that, that would be great.
David Li: Yes. Thanks, Toshi. That's a mouthful. That's a lot of questions around EM. Let me see if I can cover those. So in terms of the environment, We're obviously encouraged by the overall strength in demand we see across just about every sector, particularly strong in foundry in China. We've seen strong growth in both those areas. And as a proxy for that, you see our positions in – across the whole segment of EM, but particularly in slurries and pads growing at a faster rate. On the slurry side, I would say it's not just the environment, but we are continuing to win new opportunities that are ramping up. And I'd say that also for pad. So in the prepared remarks, we talked about continued strength in tungsten, Obviously, that's building on to a very strong leadership position. We secured some advanced tungsten positions in memory. We also secured an advanced dielectric position with a major logic producer And then a bunch of pad opportunities that were able to be secured as well, including some consumable sets. So what we're seeing is not only a strong overall growth environment, but we're also winning new opportunities that, obviously, they ramp up or different trajectories over time. But I think the end state will be increased participation for us, as we've talked about. And so we're really pleased with CMP. One thing I'd note is that I think there's a lot of industry growth numbers that are being talked about probably in the kind of mid to high single-digit range for the industry as everything is running pretty full. I'd say when you think about CMP, different parts of that semiconductor market are going to grow at different rates. We think CMP is probably growing at mid-single digits. So that gives you a proxy about how well we're doing in that area. I think we've outpaced CMP for a while now, and we continue to have plans to do so.
Toshiya Hari: Got it. That's super helpful. And then as a quick follow-up on the PM side. You guys booked a $280 million goodwill impairment charge. And I think in the prepared script, you talked about a lower-than-anticipated recovery post the pandemic and an increase in raw material costs. If you can kind of elaborate on those two points, what's changed over the past three months? And perhaps more importantly, post this write-down, Dave, how would you characterize the importance of the DRA business within the context of your overall portfolio?
Scott Beamer: Yes. So Toshiya, I'll start. Yes, you listed the two items that we mentioned in our materials. And I think as the raw material cost in the near to midterm, that's a supply demand issue in the marketplace. We won't be too specific about any particular material. But of course, you can expect us to work to manage that. So it doesn't have a significant impact in that over our rest of the year for our business. And any impact of that is included in the guidance that we increased both the top and the bottom end of that range. As we think about the lower than initially expected recovery, I think the accounting nuance aspect of this is important. And you think about the strategic objectives of our business, which we are – the team is working on may include things like continuing to develop our R&D portfolio, addressing some market adjacencies and other wind capture in the marketplace. We expect to get this business to a better level in the future. However, those sort of strategic objectives You're really not able to count much of those or perhaps any of those in the accounting model test. So we know this is a business that's been impacted by the pandemic. That is the big driver as we look forward in our future expectations of the business, That base business is challenged. That's going to be a lower type of recovery, but we expect that we're going to deliver on strategic objectives to get this business to a different place. But essentially, you're not able to count very much of those in the accounting test piece.
David Li: Yes. I think Scott captured it well, kind of the impairment from the accounting perspective. We obviously have plans to grow the business. We're investing in R&D, and we have new products that were almost ready to introduce in the market. From a portfolio perspective, obviously, the environment's changed We're always going to be looking at the portfolio and trying to understand what's the value we can drive as owners of the business versus any other alternatives out there. I would say if we continue to own the business, we're going to drive performance. And I think as Scott mentioned, if it wasn't for the pandemic, we wouldn't be talking about impairment right now. And so we do expect recovery as well as our own growth initiatives, but we always do have a mind to the portfolio and what makes the most sense for the long-term benefit for our shareholders.
Toshiya Hari: Thanks so much and good luck.
Colleen Mumford: Thanks Toshiya.
Operator: Your next question is from Mike Harrison with Seaport Global Securities.
Colleen Mumford: Good morning, Mike.
Mike Harrison: Hi, good morning, everyone. I wanted to ask about the customer capacity expansion, the node transitions It seems like you're getting a little bit of help from that in Q2, but really hearing that you guys sound a lot more confident that maybe the outlook is a lot more promising for the rest of the year and into 2022. David, can you maybe talk about what visibility looks like relative to normal. And talk about how confident you are in that forecast for the second half and maybe continued momentum into 2022?
David Li: Yes. Thanks Mike. Good question. I think what – I may have touched on a few points worth repeating from Toshiya's question, we see really strong demand. I would say, first, most of the capacity – the kind of headline use of capacity expansions from an Intel or TSMC, they're probably a few years away, but that does sort of set the framework of future growth. Once that capacity comes online, obviously, consumables will be needed. Those are important customers for us. And so we're going to be playing a big part of that new capacity once it comes online. I would say what is driving growth? And you can see sort of the – what we had talked about in the previous question is we think CMP, for example, is growing at probably mid-single digits. We're definitely growing above that.
Mike Harrison: All right. And then over on the DRA side of the business, I think part of the rationale for your recent capacity addition was that you were going to need to be able to support more international volume and international growth. Have you seen a pickup in interest in DRAs from international customers as oil prices are coming back or is that activity still relatively low and yet to recover from the pandemic?
David Li: Yes, Mike, I'd say growing that international side of DRAs continues to be a very important initiative for us, and we're making good progress. We're also making good progress on winning new business as well as introducing new technology. I think the thing – the obvious thing is that the business has been so impacted by the pandemic, it's hard to see some of those growth initiatives taking hold and getting traction. But talking about impairment, and it's certainly a growth business. So we're making progress. That's still an important initiative for us, and we're pleased with our progress so far.
Mike Harrison: Thanks very much.
Colleen Mumford: Thanks Mike.
Operator:  Your next question is from Amanda Scarnati with Citi.
Colleen Mumford: Good morning, Amanda.
Amanda Scarnati: Good morning. First question I have is on the supply consumer. I wanted to clarify your comments, Scott, where you said that it's included in the guide on both the upper and the lower end. Are you at this point under shipping any demand? And are there any conversations with either U.S. or local governments to either increase capacity or put a little bit more pressure on the supply chain as part of Biden's push to secure the U.S. supply chain.
Scott Beamer: Yes. The supply demand dynamics, I mean, were specific to a raw material that's important to us in the DRA business. But structurally, we're able to get the product. It may be a cost impact to us. But again, we have ways to work to offset that. And to my reference to the full year guide is any impact of that, if it were to be negative is included in our guidance, which I'm sure, as you've modeled out, shows improved profitability in Q3 and Q4 to get back to this full year metric of between 31% and 32%. I think structurally, yes, there's – things are changing in terms of perhaps the global political environment. They continue to evolve. But some of the structural factors that Dave mentioned about the industry oil is going to continue to be an important part of economies and how we go about society. And so we continue to be very – we continue to be optimistic in the medium to long term for this business. And again, we've kind of outlined the reasons for taking the write-down, but long term, the team has a lot of work to do, and we're looking forward to executing against those plans.
David Li: Yes. So just to build on to Scott's comments, Amanda, no challenges. Obviously, everyone is working really hard on both sides of the business, and we're seeing strong demand on the EM side, but no shipments have been affected. And we are supplying customers, and we always keep spare capacity on the slurry and pad side, as far as your comments about the Biden administration and their push for domestic semiconductors. Obviously, we're very aware of it. We're monitoring it closely. Nothing on the material side has really been announced, but we're very active in organizations like semi. And obviously, our materials play a critical role in production of semiconductors. So I think for us, It really plays to our strength because obviously, we're a U.S.-based company, a lot of manufacturing base in the U.S., but we also have a global manufacturing footprint as well. So I think it really plays to our strength.
Amanda Scarnati: Great. And then the next question I have is on the wood visit. I just want to clarify, is there still revenue generation in the wood business? Should we potentially see sort of a step-down in the PM business before we see some of the reacceleration as the oil market begins to recover a little bit more?
Scott Beamer: Yes. So the wood business that we've disclosed in our filings, the Wood business on an annual basis will be about $70 million of revenue. And we said that the profitability is above the segment average, which is about 45%. So very healthy profitability with that business. And just to remind everybody, we will run our plan – we have a plant in Mexico that produces an intermediate and then a plant in the U.S. that processes that intermediate. The plant in Mexico will cease operations at the end of this year. There will be some revenue therefore in the December quarter and then also likely in the March quarter of next year. So I expect that in the next quarter or two, we'll be a bit more specific about some of those parameters. But that's the way to think about the dimensions of that business and the timing. So we're going to have some revenue in our Q1 of next fiscal and then less revenue, but revenue in our Q2 next year, which would be the March quarter as we finalize selling out some products. And we have said over time that our production, our revenue is secured through long-term contracts, and we've been able to optimize the profitability of that business as well. We won't be specific right now about offsets to that. Again, I think that's in a quarter or two to come. We'll be a bit more specific about how to think about the total company going forward with the wood profitability effects coming out. But one key piece will be the PIM business, which is mostly the DRA business. And the way to think about that for now continuing – it continues to be stable. We know that the June quarter last year was dramatically down from the March quarter. So this quarter for us in March was still a difficult comparable to last year. And then we said at the time that June was the low point, and we expected June to be the low point for our revenue. That has continued to be the case. But the business has not improved on a revenue perspective since then. So it continues to be stable. We talked about in our Q3, there's a revenue guidance for the PM segment, which includes PIM, that – but most of that growth is actually some of this pickup of the timing of orders that we talked about with wood and QED in our materials, we'll pick those up because those were shipments that actually were delivered and booked in the April month. So I would continue to think of PM as stable in the short-term. We're expecting to get back to a better place like we mentioned, particularly through some demand recovery, but particularly through our strategic initiatives that we mentioned earlier.
Amanda Scarnati: Okay. Thank you.
Colleen Mumford: Thanks, Amanda.
Operator: Your next question is from David Silver with CL King.
David Silver: Yes, hey, good morning. Thanks. So I think my questions are going to kind of be focused on the Electronic Materials segment and in particular, I think the margin progression. So when I look at your – when I track your quarterly results sequentially, what I do see is The bulk of the incremental growth that you're experiencing 2021 versus fiscal year 2020, I mean it is concentrated heavily on the CMP slurries product line. And my kind of assumption is that, that would be among the highest margin business within that segment. And yet the margin progression, particularly when you compare it to full year 2020 or full year fiscal year 2019 even it doesn't really seem to be responding. In other words, the incremental margins don't seem to be that high. So I'm guessing that there's some incremental development costs and things like that. But could you maybe just talk about how that incremental dollar of CMP slurry or pad revenue is falling to the bottom line. And I think alternatively, how are you managing the incremental as you cited in the prepared remarks, I think the technology and development work that you're doing. So kind of just relating the growth on the top line to what we're seeing on the operating margin line would be great or sorry, EBITDA margin line would be clear.
Scott Beamer: Yes, David. Sure. I'll make a couple of maybe summary comments about pillars. And then I think it is instructive to talk about the quarterly progression of the profitability because it's an important part of our message here today. Slurries is above our corporate average. And so you're right about that. That is a business of ours where there is some significant leverage once volume returns, which it has been doing and you would naturally expect there to be a pretty significant contribution from every slurry – extra slurry dollar that's sold to the bottom line. Now what has happened in the second quarter, and I think we were actually very transparent about our expectations for Q2 when we met at this time last quarter. Q1 from an EBITDA total company perspective was about 31.5%. And we were pretty, again, specific and transparent that we knew about 200 basis points or so of pressure from certain cost type of items. And we mentioned that, that was our March quarter is one where we have some particular inflationary items. We also mentioned some third-party spending related to – primarily related to intellectual property, which is, of course, an important part of how we conduct our business. We said no structural change to that type of cost, but that can be a little lumpier quarter-to-quarter, depending on the activities that are going on in throughout that process. So from Q1, down to Q2, again, we – I think we signaled pretty transparently about the profitability. Now how do you think about the rest of the year? We said that for the full year, I think it's in our prepared remarks, for the full year, we expect to be between 31% and 32% for the full year. So we're not there in the first half. We're about 30.5% in the first half. So that indicates that we're at the high – we expect to be at the higher end of that range, 31% to 32% in each of the upcoming quarters to get that full year into the range of 31%, 32%. So there's a lot of numbers in there. We can clarify if needed. But I think you'll find that I think you'll find that the math makes sense. But in particular, those cost type of items that we discussed heading into Q2, and we've mentioned in our materials for Q2, those normalize through the rest of the year. We did – we mentioned some timing of sales that did not happen in the March quarter for wood and our QED businesses, which are also – they're smaller but also among the more profitable businesses that we have, we catch those up in our June quarter and the rest of the year is stable to improving. And then the overall health of the semiconductor industry continues to be something that positive for us and part of that improved profitability metric in the second half is related to your very first point about the slurry contribution and the leverage that we earn on additional revenue dollars from slurry.
Dave Li: Yes. I would just add a few additional points. I think Scott captured it well. We talked about this second quarter historically being a bit softer from an EBITDA perspective. Just mostly because of the timing of kind of things in the calendar, and we expect even historically, if you look back Q3 and Q4 have been at a different level. I think another, obviously, as Scott mentioned, too, we increased our EBITDA guidance for the rest of the year which reflects our confidence in the profitability of the business as well as the strength in demand.
David Silver: Okay, and thank you for that. And I did – Scott, you were 100% correct. I mean I do recall the comments about the last quarter with the margin – the margin effects you had called out a quarter ago. But I was even thinking maybe even for the next quarter or two, I mean you've projected mid-single digit or maybe hopefully better top line growth, 3Q versus 2Q? And when – again, when I look at it year-over-year, the bulk of that incremental growth is going to fall on the slurry line. So you're saying kind of the similar effects even as we progress through the back half of fiscal year 2021? Is that the correct?
Scott Beamer: Yes. I think my summary as some of those cost effects normalize throughout the rest of the year. And then particularly with the healthy semiconductor industry then we get some leverage on that volume that we expect to improve, consistent with our third quarter guidance and what we've outlined about full year expectations as well. So yes, I think that's a good way to look at it.
David Silver: Okay. And then just maybe some comments, I guess, about internal capabilities and preparation looking forward. But whether it's wafer equipment spending trends or the fab utilization rates at all-time highs. I mean this would kind of be the environment where the call on your resources, whether it's production, whether it's collaborative R&D, whether it's your global footprint, the call on that and the need to kind of be there for your customers' needs, would seem to be about as high as I can recall it being. As you look forward, I mean, what are the one or two areas where you're thinking that you might need to strengthen your internal capabilities or expand your global footprint? In other words, what do you – what do you feel you have to do to grow along with the very robust outlook and development activities under way across the broader industry?
Dave Li: Yes. Thanks, David. I think from my perspective, regardless of the industry environment, it really starts with our ability to innovate new and better solutions for our customers. And I think we've been able to do that. I think really, it starts with technology, and that's why customers come to us with their most challenging material issues obviously, particularly in CMP. And so during this time of strong demand, I think we're also continuing to be focused on introducing products, consumable sets and even improving our offering in electronic chemicals. And we're really starting to see the results of that. And I think our guidance, even for this next quarter reflects not just the industry environment, but also our ability to win new opportunities with new solutions. And so that's a big part of it. I think on the operations and quality side and of course, the customer-facing side, I'm really proud of the team for, obviously, in this working through the pandemic and also meeting all of our customer demands. We've talked about for the last several quarters. We haven't missed a shipment. And I think although it's really been an exercise of our supply chain, I think we've come through really well for our customers, and that's kind of what they expect because all of the solutions that we provide, whether it's an electronic chemical or a slurry or a pad are really critical for the fab operations, as you know. And so we really take on that commitment with a lot of focus. And we've been able to deliver through this pandemic. Through the stronger demand period, obviously, we've been through many cycles before. And so we're used to a strong uptake. I think our operations are able to flex and accommodate even during this challenging environment with the pandemic. I think the one other thing I mentioned in the – in one of the other questions around electronic chemicals, I do see us investing there to improve our quality, improve our technology and improving the supply chain to just be kind of at that same level that customers expect from the CMC Materials brand. So there's a lot of exciting work happening in the company. Obviously, a lot of that focus is around the electronic materials side, but I think we're more than up to the challenge of the strong demand environment.
David Silver: Okay, that’s great. Thank you very much.
Colleen Mumford: Thanks, Dave.
Operator:  The next question is a follow-up question from Mike Harrison with Seaport Global Securities.
Mike Harrison: Hi, thanks. When you put all the prepared remarks in the slides, it gives us more time to ask more questions. So I appreciate that.
Colleen Mumford: That's great. That's what we want.
Mike Harrison: I was hoping that maybe you could give a little bit of color on the ITS acquisition and how it fits within the business. And maybe talk about whether there are additional bolt-on opportunities in the corporate development pipeline right now?
Dave Li: Yes. Thanks, Mike. We're excited about ITS. It's a smaller acquisition for us. We are – we have always been very disciplined about acquisitions throughout the company's history. And of course, we intend to do so. ITS fits a lot of the characteristics that we look for. First of all, We have a strong commitment to growing our electronic materials business. And obviously, they're a technology leader in the consumables used to in the packaging and test area. In particular, they make these functional polymers that remove the debris and improve yield. And so there's a lot of value to the consumables that they're able to produce And so there's a lot of similarities to our business. There's also a significant technology there. And so we're excited about adding their team. and their business to our portfolio. It does also increase our participation in the back-end part of the semiconductor fabrication process, which is expected to grow even faster than areas like CMP. And So just on its face, we're excited to add ITS into the portfolio. And I think the acquisition has gone well. I think in terms of your question, does it open up more opportunities, I think we would look for similar opportunities to ITS, whether they're small or medium or large. They're definitely going to be focused on the EM side. That's what our focus is going to be on. And so – and then as I mentioned, it does open up the testing and packaging area. So perhaps the aperture is a bit wider on the electronic materials side given this acquisition of ITS.
Mike Harrison: All right. And then within the slurries business, you used to break out tungsten, dielectric and some other subsegments. Relative to the 17% number that you saw for overall growth in slurries, can you give us a sense of what product lines we're showing the fastest growth. And are you starting to see growth in slurries for new metals or materials, areas like silicon carbide and gallium nitride?
Dave Li: Yes. I'll answer the Last part of your question first. We have – although it's a big part of our development efforts, we have dedicated teams working on applications like silicon carbide. It's not a significant driver of volume for anybody these days yet, although obviously, growth potential in the future. From the slurry side, you're right, we don't break it out as we have in the past. I would just say we're seeing broad strength. Obviously, we have strong leadership positions in tungsten. We continue to build on to those. Dielectrics is also another area that we have really brought a lot of innovation to the portfolio, not only replacing ourselves, but others, we recorded a few wins in that area, with a major logic producer. We also had a consumable set win with using our dielectric product. So I would say from a – just a general sizing perspective, It's probably tungsten, dielectrics are the largest two of the slurry portfolio and then kind of metals in general, like copper or aluminum. We also have very strong products there. The other thing I'd point out is China is really been growing very strongly for us. We have very strong relationships with both the domestic customers in China as well as the international. When you talk about the domestic customers in China, they're really trying to catch up in terms of the technology. And so our experience and proven solutions really strike accord with that customer base there. So we're really pleased with the growth we've seen in China, and that's primarily in the slurry area as well.
Mike Harrison: Thank you.
Colleen Mumford: Thanks, Mike.
Operator: Your next question is a follow-up question from Toshiya Hari with Goldman Sachs.
Colleen Mumford: Welcome back, Toshiya.
Toshiya Hari: Hi again. Thanks for taking my follow-up. Two very quick housekeeping questions. Scott, the full year CapEx guide is now, I guess, $65 million at the midpoint as opposed to $90 million. Was this a delay or a push into fiscal 2022? Or is this sort of a fundamental change in how you think about the capital intensity of the business? And I think on prior calls, You had guided fiscal 2022 and even fiscal 2023 CapEx to about $50 million. Has that changed at all over the past three months? And then my second one is on OpEx. I guess, going forward, given some of the comments by Dave about improving quality in EC and continued R&D in your slurries and pads business, how should we think about OpEx to sales over the next 12 to 18 months?
Scott Beamer: Yes. Sure, Toshiya. About CapEx, we're going to continue to have a very disciplined approach and be careful about how we prioritize projects and how we assess the timing of those projects. I would say your question is a very good one. I think it's a little premature for us right now to communicate too much specificity around our future expectations. So we understand the desire for that information, and we'll be providing that more information about that in the coming quarters. So – but I think just broadly speaking, some level of push out would be, I think, the right way to think about this. We're going to come in quite a bit lower for the – some of the reasons that we talked about. We're going to come in quite a bit lower this quarter. We know about the capacity expansions of certain customers, particularly in the U.S. And so some level of push out, I think, would be a reasonable way. So think about that. But again, we'll come back with more information in a future quarter about exactly what your – what you should expect in terms of expectations, but I can give some directional information here. And to continue to grow our business organically is going to be number one – it continues to be our number one priority, and we feel fortunate that we're able to meet all of our capital deployment priorities, including CapEx. So we have all of those met and I know we put in the prepared remarks some parameters around how we continue to deliver on each of those areas. Then as you think about OpEx, and OpEx has been running around $50 million or so on an adjusted basis, and we put those tables in our materials. This quarter, it was about $53 million and we indicated that the primary piece of that increase versus a prior level is related to that professional spending, professional services spending, particularly related to the intellectual property. That should normalize. So as I think as you're thinking about the company getting back into that range of $50 million or so, and we gave our revenue guidance for the year. I think that will – or for the quarter, that will put you, I think, in those kind of the kind of metrics that we talked about, again, improving profitability in Q3 and Q4 to get us to that full year metric of between 31 and 32.
Toshiya Hari: Got it. Very helpful. Thank you.
Colleen Mumford: Thanks, Toshiya.
Operator: Your next question is a follow-up question from David Silver with CL King.
Colleen Mumford: Welcome back, Dave.
David Silver: Thanks for getting rid of all those other people who used to be on the call. I appreciate you. Toshiya is getting my – a lot of my questions ahead of me here, but I have one left. And it is kind of a modeling question, and I am thinking about your guidance, in particular, Electronic Materials, 2Q to 3Q. You've guided to mid-single digits. And just given the timing of the ITS acquisition, I just wanted to clarify is the mid-single digits inclusive of ITS. In other words, it's less than mid-single digits, I guess, on an organic basis? And then I did just – and then I just did want to check, assuming that the mid-single digits includes the first quarterly contribution from Would that still indicate that slurry revenues of 3Q versus 3Q are going to be up? I have it – it's a guess, but I have it at about 21% up year-over-year. Is that a reasonable thing? Or am I missing something? In other words, the second derivative is positive. You're going from plus 17% to maybe plus 20% or 21% as we go from 2Q to 3Q? Thank you.
Scott Beamer: Yes. I think the way you're thinking about it correctly, David, a pickup. We closed ITS on April 1. And so we'll essentially have a 1/4 of those revenue and earnings from that acquisition into our numbers. And yes, that is included in our guidance of the mid-single digits for Electronic Materials for Q3. So you're thinking about that the right way. And again, we've provided some information, I think, even on this call and previously about how to think of the financial dimensions of that acquisition. I think then – and I'm going to be reluctant to get into too many details about the individual business units. But we are coming off of a quarter where we grew 17% – 11% for Electronic Materials versus the prior year. So we expect to continue to grow. You're going to do the math, which I believe you're doing on what our sequential guidance is for Q3. And I think slurries would be at the higher end. So the math you're doing, Q3 guidance that we're giving now, which is sequential, but you're comparing it to prior year, agree with the logic and the numbers. And I would say that the slurry business will be at the higher end, a higher contributor in all likelihood then pads and EC within that dynamic. So I'm going to be reluctant to dimensionalize that much further, but slurry is at the high end in terms of that contribution that you're referring to, and that would imply another strong quarter of revenue growth versus prior for the Electronic Materials segment.
David Silver: Thank you for that. I apologize, I was a little floppy with my math there. But that's fine. I'll follow-up later on. But thank you very much for that, appreciate it.
Colleen Mumford: Sure. Thanks, Dave.
Operator: That concludes the Q&A portion for today's call. I would like to turn the call back over to Colleen Mumford for final comments.
Colleen Mumford: Thank you. That is all the questions that we have for this morning. Thank you for your time and your continued interest in CMC Materials. Have a great day.
Operator: This conclude today’s conference call. Thank you for participating, you may now disconnect.